Jean-Marc Jestin: Good morning, everyone. I am very pleased to welcome you today with Jean-Michel for the 2019 full year earnings for Klépierre. We will make short presentation and we will leave the floor to the questions. So starting with the presentation I would like to make a statement that 2019 has been an additional year where we have keep on executing our strategy which we believe is a winning strategy in retail environment which is transforming and this is a year where we are posted [strong] results and the net cash flow per share is going by 6.7% to €2.82 and this is the outcome of strategy that we have started five or six years ago and three pillars of this strategy are very clear to us. The first one is to focus on permanent assets in large cities and large catchment area. And we will come back on that. The second one is to have a platform where the teams are customer centric and I would say also customer focused or even obsessed by the customer satisfaction and the third pillar is the financial discipline and these are the three elements for us to whether the retail transformation that we are all facing. The first pillar is clearly to be focused on large cities, large catchment area where the population is more than a million in habitat and the average revenue per capita is 20% above the national revenue per capita. And we have today made a fantastic over the years of fantastic refocus of the portfolio and Klépierre today is more than just [indiscernible] Klépierre representing 96% of the total value. And this was 94% in 2017. So we think we have achieved today a fantastic refocus and we'll continue disposing non-core assets as we have done this year but most of the refocus is achieved. The second pillar is to be customer centric and I think we have because of the size of the platform and because of the quality of the team and now Pan-European footprint we have deployed a very systematic approach. We have you will know four pillars. The first one is retail first is all about changing the mix and improving the quality of return and also hosting new occupiers in our malls. The second pillar is let's play. Let's play is to make our malls more entertaining and to increase engagement and loyalty. The third one is club store. It's all about making our shopping center more pleasant to improve the customer journey and to have a sense of hospitality and to offer seamless experience to our customers and last but not least which is not something we do on the side, but which is act for good. Act for good is to make sure that our operations and growing our cash flow is also made with the system nobility approach and that we want our operations to be sustainable and we can measure it and you will see during the presentation that it is not only a vision it's something we can really measure. We have a growing sales. Sales are doing better than national indexes. We have also a very strong occupier demand. It's not only a retail demand but many type of occupiers. We are also changing fast and adapting the mix in our malls and we have an increasing satisfaction that we measure with NPS and NPS in our portfolio has increased by 8.0 in 2019. The third pillar is to be financially discipline and we have continued in 2019 to dispose non-core assets. We have sold for little bit more than 500 million with a 6.8% net initial yield, we were 6.1% above the book value and with the proceeds we have done some share buyback as a plan with 8.9% cash flow yield and we have also re-injected the proceeds in a very accretive pipeline projects. We will come back on that with 6.6 yield average. And when we look back at what this has been doing over the last five years, you will see that the cash flow of Klépierre has increased by more than 30% since 2015 and the net debt to EBITDA has decreased also it’s very significantly from 9.2 times to 8 times. And in that in view of this strategy and our earnings in 2019, we are going to present to the shareholders dividend of €2.20 which is an increase of 4.8% compared to 2018. And we are pretty confident for the future because we think that the strategy is very clear. The strategy is paying off and we have a financial discipline that will also pay off. So we have basically three items that you need to keep in mind. We have a low OCR probably one of the lowest in the industry. We have also a very low net debt to EBITDA reasonable pay out and we can easily invest in our properties and deploy our strategy. If we focus now to 2019, 2019 has been over a very strong year in terms of net rental income like for like. You can see that we are positive everywhere but in Germany and we are posting very strong results in IBERIA 7.8%, Netherlands 5.5%, Italy is 3.2% and this is also one of the benefit of being Pan-European that we can take advantage of the different macro economies that are in Europe. There are never all synchronized, but over the time this is great support of the resilience and the growing cash flow for Klépierre. And we have also significantly increased our specialty leasing income by more than 7% in 2019. We have been also very-very dynamic in terms of leasing, the number of leases is almost 1600 and the average reversion is 8.2% and this as you can see more than dynamic in IBERIA and Italy where we are double digit reversion, and we are also posting excellent figures in the other countries, but in Germany. And when we look at the other main KPIs of 2019 we can see that the EPRA Vacancy Rate is 3%. We are back to the level we were before acquired Créteil if you remember 3% so this show that the platform through the various disposal is improving constantly. The bad debt, which is also a sign of the solidity of our tenant based is at record low at 1.6% and the occupancy cost ratio as I mentioned is pretty stable around 12.4%. And this has been done in a retail environment where sales are growing. Sales are growing almost everywhere but in Scandinavia, and we have seen over H2 slight improvement compared to H1 and the growth of sales over 2019 is doubled and the growth we have registered in 2018. And I would like to focus a little bit on two pillars and what we have done this year on two of our operational pillars. The first one is retail first and the retail first [indiscernible] to proactively attracting the mix to consumer expectations, and we have been doing that for more than five years now and we did it proactively. The second one is to ease the transition to a new channel. What does it mean? It is to provide to the retailer, the best real estate for them to invest into their stores and to adapt their whole new format and we are doing this also to take advantage of the retail concentration to make sure that the investment from our retailers are made in almost and not in the competition schemes. And when we look a little bit more in the details, we have a categories where retailers we have a very strong deal flow with our key accounts and we keep signing a lot of deals with all of them. And those are few examples out of the 1600 leases we have signed but you can see that within text we have signed more than 20 deals and which was more than 40. So we keep on leveraging the platform, the leasing in Europe. We are also attracting new players. It's something that is more and more important in our leasing strategy. We have a few names on the page probably a few of you are aware of used to see them [indiscernible] is the first one. It's the fashion retailer. We have done fantastic popup stores with them in France and they have been attracting a lot of customers it has been really great. [indiscernible] sunglasses they were only online business and now they are opening in stores. So it's a mix of automotive as you can see on the slide. Automotive is also a way for those brands and those banners to showcase their innovation. As you know automotive business is transforming fast. So they use our malls as the best way for them the best media to reach their customers. DNGD and also what is quite in line with our actual good strategy is to give a chance to a local niche brands that are also very attractive. We are also widening the offer in our mall . So from value retailers to upscale brands in Empire in [indiscernible]. We have a mix of urban and that probably you don't know it's a little bit in equivalent to [indiscernible] but we also have a [indiscernible] store and we have [indiscernible] store. So we are also enlarging the offer to reach more customers. We are also supporting brands that are going retail. They are retail brands but they are not used to have shops in malls. A few example like Daizen we have opened six stores with Daizen in almost and also doing fine. We have all the OI/MI doing great. Daniel Wellington this is a watch is also developing fast in our shopping centers. And last but not least we are offering more than shopping. We already mentioned many times we in our strategy which is shop meet connect. We need to offer mall and shop. So places where people can meet and connect and have other reasons to come to a mall. So two examples which are very opposite I would say we have open a 4000 square meters hospital it's a real one [indiscernible] in Portugal and we have opened a ballad, ballad studio in cities in Copenhagen. And in terms of numbers we are moving fast. We are changing the mix fast to adapt to the retail transformation and the new customer expectations and a few numbers here in 2019. This is a number of stores that have been renewed, released in percentage. You can see that in Milano. we have changed in a year 36% of the mix heading [indiscernible] it was 22% back in 2018, [indiscernible] Portugal 16 and in Liguria in Madrid 15. So there are also tremendous numbers which give us comfort that the leasing is very vibrant. And we also measure it by the investment that the retailers are doing in our malls. We are very careful that when we do leasing or renewal here the retailers are making the new store format and that they're investing in their stores and when we measure it in 2019 is almost EUR 500 million that has been invested by our retailers in our malls and I think it's a good sign that they favor our mall long-term. And the second pillar is act for good. Act for good is not something we do on the side to tick the boxes. This is something we have put in the middle of our operations. We think that there is a growing and growing aspirations from the customers who have operations that are more sustainable, more local and more social and this strategy is clearly embedded in our leasing and let's play policy. And we are moving fast and we are doing very well. So we have decreased our energy consumption by 29% since 2013 and we are clearly on track to reduce our energy consumption by 40% in 2022. We have also completely renewed our energy supply. We have more than 93% of our electricity which is a purchase from renewable sources and we have as a target in 2030 to be to have a portfolio which is carbon neutral and when you look at the chart we have decreased by 72% our carbon footprint since 2013. So we are also moving fast in that direction to answer to the customer aspirations and our portfolio also we are the first reach in the world to have its portfolio certified as a portfolio by [Bahamas] and when we look at the outcome 95% of the portfolio is either excellent or very good and this was a target we had for 2022 and we had achieved it three years ahead of time. And we are also engaging with our communities to make our shopping centers more local and more social and this is just one example of what we are doing. We are, we think that the community of people working in our malls they need to have a sense and purpose in community working in our mall. So we have deployed an app which is called Let's Join which is an app where we share information and services and dedicated services to the retailer staff and to the supplier staff and it's doing pretty well and when we measure the satisfaction of our customers we have our NPS Net Promoter Score that has increased by eight points since 2018 which is a really great achievement. And now focusing on the capital allocation, in 2019 we have sold or sign agreements to dispose EUR 645 million of non-core assets. They were, it was done at 6.1% above book value which give us comfort about the valuations and this was done at a 6.8% net initial yield and this was a little bit inflated by the disposal in Central Europe where the needs are historically higher. So when we took out the Central Europe disposal we were around 6.3%. And we have as I indicated reinvested in equity way in our portfolio. We have done a share buyback. We have done new development project and I will come back on that and we have also done a small but very interesting acquisition by taking 10% of Belle Épine which is one of the largest shopping center in the south of Paris. So 19 has been the milestone in 19 for the development activity has been the opening of Créteil Soleil. This is a 11,000 square meter extension. It was 100% led at opening. It was yield on cost of 6.1% precisely and since opening the footfall as increased by 19%. Gran Reno this is the construction is underway. We are predicted at 56% this is the 25,000 square meter extension in Bologna. This is one of the wealthiest region in Italy, I think even the wealthiest region and as you can see we have a lineup of [indiscernible] also very attractive. The next one on the agenda is the extension of Grand Place, it's in Grenoble in France. This is an extension of 16,000 square meters we are already 56% [indiscernible] you can see that this is one of the tenant would be Primark. I think this will help us to increase the footfall of this already 11 million footfall shopping mall and work should be started H1 2020. And now I will leave the floor to Jean-Michel to go through the financial numbers.
Jean-Michel Gault: Thank you Jean-Marc and good morning everyone. So let me start this finance section with a condition one the bridge over net current cash flow from 2018 to 2019. As you can see we continue to grow our cash flow at a sustained pace for 2019 we posted a 6.7% growth. Once again it is a very solid performance. As in previous years the main driver of all net cash flow growth is a 3% like for like NOI growth as Marc mentioned earlier. The reduction in a financial cost also contributed to the cash flow growth quite substantially. I will discuss this in more detail in the next slide. Regarding the capital allocation the derivative impact of disposal completed in Italy and Hungary at the end of 2018 and the disposal in France, Portugal and Hungary in 2019 were slightly higher than positive contribution from recent development and the share buyback. You may recall that share buyback program is implemented at a similar pace as one of disposal. Over all excluding us recent one off element our net current cash flow grew by 5.6% to 2.79 per share way above our initial guidance of 272 to 275. This one off element just to come back on this is a financial income of 9 million corresponding to the composition received by KPI on a cash deposit we made to the tax German authorities in connection with a text litigation incurred by [indiscernible]. A quick word on our cost of debt now. As you can see on this chart it continued on its downward path to reach a low 1.45%. As you remember we mentioned after 2019 presentation that we still add EUR 1.8 billion of debt at an average cost of 2.7% to refinance by 2022. We will get some of the benefit of the refinancing in the next 18 months as we expect to get lower components bearing in mind that we have already swapped to float some of them when interest rates were higher. That is to say a couple of months ago. This should allow us to keep lowering of cost of debt going forward considering especially the outstanding access to liquidity we have. I think this access to liquidity is one of the main strengths of Klépierre as shown in this chart our credit spread is one of the lowest in the REIT industry. This is a consequence of the strength of our balance sheet and the reflex of A minus rating in which we are well anchored with an outlook stable. We check the solidity of our credit when we last issued bond in June 2019. We got a 45 bips as you probably remember for 11 years on maturity pointing to a 0.625% component looking at today's market condition despite a slight increase in spite we would get the same pricing as the spread increase has been offset by the decrease in interest rate. So no matter we will change on this front. Very good condition financing condition for Klépierre going forward. In 2019 our net debt decreased by 45 million. Let's say broadly flat and stood at 8,830 million at year end consequently our net debt to EBITDA declined to 8 times compared to 8.3 times last year. This combined with the 6.5 years average maturity over debt make a financial profile even more robust. Let's look now at a valuation. The valuation of a portfolio. I would like to underline that the investment market has converted to a certain extent. First we have seen landmark retail transaction in the continent that give good signs of liquidity for quality asset at decent prices and second as Jean-Marc said we have been able to sell for 530 million of wealth of asset above book value. So we are confident that the values in year book reflect what the market currently prices. Overall the change in the second half -1.1% was quite similar to what we have seen in the first half. I remember you. It was a -0.9%. Net initial yield stood at 5%, 10 bips increase compared to six months ago. In relative terms compared to a blended risk-free rate of 0.7% the net initial yield of our portfolio materialized 430 bips risk premium. This is the widest thing in a decade. Some remember probably higher yields in the past but never such low risk free rate. So slight decline of the portfolio value was entirely due to -2.3% market effect while the cash flow effect was slightly positive. I would consider this is probably the main thing and the most important one at plus 0.3% as illustrated by the change in the [indiscernible] assumptions. Indeed when looking at the changes and again to give you more details on what other valuation have been done in this assumption taken by the Plaza compared to 12 months ago it works [indiscernible] broadly stable discount rate which is a consequence of a higher risk premium and the lower risk free rate. The exit rate increased very slightly on top of the element I have just mentioned for the discount rate. This change was also driven by lower indexation going forward the decrease by indexation by valuers has been a for about 13 bips into the discounted cash flow calculation. It's also worth noting the change in scope that tends to lower the discount rate and the exit rate as the assets sold in Hungry and Portugal where yielding higher. Regarding the NAI forecast thanks to LC renewal and despite slightly lower indexation assumption and then growth forecast is an average 2.4% and was lowered by 12 basis points. Moving now to NAV. The evaluation in the portfolio evaluation I just described below translate to one year decline in a EPRA NAV per share -2.3% over 12 months which stood at EURO 39.50 at the end of December 2019. The main items explaining the evolution are strong cash flow generation to EUR 2.82 per share more than offset by the portfolio down the line pricing EUR 144 and the dividend payment for EUR 2010. ForEx and other operating and financial costs were responsible for an additional 20 cent reduction in NAV. This mainly includes non-recurring costs that we are not fully offset by the impact of the disposal of our book value and the relative effect of the share buyback. Our triple net NAV to that EUR 37.40 per share or 4% decrease the GAAP compared to NAV reflect the impact of the fair market value of the fixed rate that which was hampered by the drop in interest rates, especially during the first half. Before moving to the dividend payment I would like to dwell on a user's and sources of cash. Once again in 2019 our net current cash flow more than covered the dividend and distribution to minority partners as well as maintenance CapEx which amounted to EUR 98 million of which 25 million returned to talents and below last year level which were $127 million. As you can see on this slide our cash flow was even sufficient to finance a large part of the EUR 205 million in development CapEx as well. Our second source of cash comes from the disposal proceeds, which reached EUR 537 million. EUR 300 million of this was allocated to our share buyback and roughly 90 million to the acquisition of 10% stake of Belle Épine the leading mall in South zone, Paris already managed by Klépierre for many years. The balance between these different items went to pay down our debt as I told you previously -45 million. Last but not least to conclude this financial part, word on the dividend at the next [indiscernible] meeting we will propose dividend of EUR 2.20 per share an increase of 4.8% versus last year. This represents 79% of Klépierre net current cash flow of share excluding the one-off. This sizable increase demonstrate of confidence in our ability to keep delivering sustainable dividend growth going forward. So the distribution of EUR 2.20 breaks down EUR 0.76 for the [indiscernible] EUR 0.59 for the [indiscernible] and 0.85 as a equity repayment. As last year the dividend will be paid in two equal installment of EUR 1.10 the first one in March 11 and the second one in July 9. And as our very last few words because I can't resist. I wanted to comment on this graph. As you can see growing the dividend regularly is a long-standing tradition in Klépierre indeed it never decreased over the last 20 years. As Jean-Marc mentioned in his prediction, we believe it should continue going forward. This is all for me now and I live to Jean-Marc the floor for a quick conclusion and the outlook.
Jean-Marc Jestin: So thank you Jean-Michel. Just a quick hop up this has been a very good year. 3% like-for-like net rental income. In the current environment this is I believe quite outstanding that come from the quality of the strategy. 5.6% net current cash flow when we threw the one-off. That's also very strong. We keep disposing assets 645 million above book value. We do it at our pace. We keep the leverage in our peer group at the low level 8 times net debt to EBITDA. We have a strong balance sheet to finance our development and our organic growth and we pay a dividend which is 4.8% increase to last year. I think it was a very good year. When we look at 2020 we are also very confident to continue growing the business and growing the cash flow and we will propose a guidance for the net current cash flow to be between 285 and 290. You have to keep in mind that we have sold more than EUR 500 million. So we are also losing cash flow. We are offsetting it with the share buyback but the guidance also take into account the fact that we are a net seller in 2019. Now I will leave the floor to the questions in the room and online. 
Q - Florent Laroche-Joubert: Hello. Thank you very much for the presentation. So Florent Laroche-Joubert from Oddo BHF Securities. So I would have three questions if I may. So first question about your [indiscernible] so you have huge [indiscernible] 2019 so how sustainable are this valuation so this would be my first question. Second question is it possible to have maybe more colors about your expectation in terms of disposals of non strategic asset for 2020 and maybe third question so we have seen that we have a repricing of your assets. So in F1 2019 and at the end of 2019. So what is the comfort of this repricing? So are we to expect another repricing at the next publication or what is your opinion on that? Thank you.
Jean-Marc Jestin: Okay. Thank you. Your first question was about the reversion in Central Europe and Spain. I think the fundamentals of the economy in Spain, Portugal and Central Europe, fundamentals are very strong. So we have a GDP growth in Central Europe which is exceeding 3%. We have sales going up also more than 5% and in EPRA the GDP growth is a little bit softer than the last year but it is one of the highest in Europe. So we are benefiting from recovery cycle and also a boost of GDP. They are exceptional numbers. So we don't expect to do that forever but we are also very positive for the years to come. We have a portfolio which is very well positioned in those countries and they are also very well occupied. There is a great tenant and occupier demands or those malls. So we see growing sales. We see retailer demand. So we are very positive that the reversion will be strong for the years to come. For the disposal I would like to, we keep repeating that we are refocusing re-focusing, refocusing. We have done it. So we have 4% of our portfolio which are non-core assets. We are doing it. We are sending over the last four years we have sold 500 million average. So are we going to do that in 2020 you will see. We are disciplined in refocusing our portfolio, taking advantage of the investment market, doing it above book value and so we are pretty confident that the values in our books when we are disposing are pretty reasonable and 6.1% above book value that's a good number. For the re-pricing of the assets this is what it is. So there is concern about liquidity. You all know that so there is I would say a decent repricing. We are comfortable with it. We need to keep in mind that we are in an environment where we are still posting growth. We have a retailer sales going up by almost 2%. We have like-for-like growth by 3%. We have a reversionary potential of 8% this year. So the indicators are positive and so there is a market effectively pricing which is always a reflection of the investment market and for 2020 and going forward we don't do prediction. It would be what it is. We think we have the good balance sheet. We have a strong balance sheet. We position ourselves to be I will say protected against the cycles and that make us very comfortable going forward.
Unidentified Analyst: Good morning [indiscernible] I have a couple of questions for my side as well. So just to come back on your portfolio valuation and the decrease that showed last year. So can you maybe give us the breakdown between a big centers and the [indiscernible] centers especially in France? Also can you give us the value creation recognized into the 19 with the extension of Créteil Soleil in million Euros, please and on Belle Épine if I'm not wrong you're already managing the center. Maybe can you give us the rationale to buy only 10% and can we expect more on the center?
Jean-Marc Jestin: So I will on the portfolio valuation, maybe Michel.
Jean-Michel Gault: Well, we will not disclose this level of detail of information but just to say that the scope of yields in France roughly speaking goes from 4% to 6.5% [indiscernible] okay with this. So this is it and we have stressed that when we dispose even secondary asset in France like we did over the past we did it at book value. So I think again we are very convinced that this is really, our portfolio is valued in connection to the market we were used to say that it is important to mark to market or asset considering that we are also seller into the market. So the best way to succeed in disposal like we succeeded by selling about EUR 500 million of asset every year is to go close to the market. On the second question is what?
Jean-Marc Jestin: It's about Belle Épine, the predecessor of KPI, they built it. We manage this shopping centers since 1975, okay. So I think it was the right time to put some money in the game as we said. This is an excellent shopping center. We are very pleased that the owner of this mall has opened the capital to us. We have taken 10%. I think it was a wise investment and we are looking forward to continue developing this asset as shareholders now to this asset. So I think it was a good idea pretty small investment for Klépierre but a very good idea and for those who knows the south of Paris and the number of malls this is the dominant one in that catchment area. And the third question was? [indiscernible] we did the total investment cost is around 150 million with a 6% yield on cost and when you look at the net initial yield of the French portfolio you can easily measure the value creation we have done on it.
Jean-Michel Gault: Sorry I think we are also some questions online. So for one minute we will go online. Can we get the first question online please.
Operator: Sander Bunck from Barclys, please go ahead.
Sander Bunck: Hi good morning. It's Sander Bunck here from Barclays. Two questions from me please. The first one is on your talents, second one on the [indiscernible]. The first from the guidance and if I take into account the disposal in 2019, assumes [indiscernible] disposal in 2020 making adjustment for share count and financial savings. I actually get to pretty low implied NOI growth [indiscernible] look consistent with your commentary around lowering expectations for 2020 and slightly lower MGR uplifts in Q4 and can you just give a bit more comment on what you're seeing in terms of organic growth for 2020 or is it more that your guidance is again quite conservative and second one on the [indiscernible] is that you obviously disposed made some good disposals in 2019 and nonetheless your [indiscernible] picked up by around 100 basis points for a variety of reasons. How are you thinking about that going forward and how are you thinking about buybacks in that light. Are you going to renew your buyback program or given the package is picking up now are you going to put that on a hold once the two hundred million has been completed?
Jean-Marc Jestin: Okay. Thank you very much. The guidance it is what it is. Okay. We think this is in the current environment we think it's showing growth. We don't itemize the cooking of the guidance. There is a mix of NOI goals, disposals, acquisitions probably share buyback and debt reduction and so on so. We don't itemize but we think the guidance has been made assuming robust organic growth in 2020.
Sander Bunck: Similar to 2019 or lower?
Jean-Marc Jestin: My English as you know is limited. So I would say [indiscernible] okay. So in English probably too. No, we are doing well. I think we are 3% like-for-like growth this year. This is pretty good. So we will continue as in 2020 delivering good sustainable organic growth. When it comes to [indiscernible] it's a function of value and debt. I think Jean-Michel has clearly explained the financial discipline. The financial discipline of Klépierre is to make sure that we use our capital wisely and we also use it in a way which is accretive. So it's difficult to predict what we are going to do in 2021 and 2022 but we will continue to be very disciplined keeping the debt stable. That's the main assumption we have taken over the years and this is the basis of the guidance for 2020 and we have long-term guidance on [indiscernible] that -- which is to be between 35% and 40% long-term and we are right in the middle. So we feel comfortable.
Sander Bunck: Okay. Thank you very much.
Unidentified Analyst: [indiscernible] back to Belle Épine and you take 10% and how much do you have now in Belle Épine how much do you pay for this 10%. My second question is on the slide 23 you talked about turnover but is it in just in one year for this. Thank you.
Jean-Marc Jestin: So Belle Épine, we can’t be more specific. We bought 10% for €87 million that's it. So, can’t say more.
Jean-Michel Gault: That we – only have 10%, we didn't own Belle Épine before.
Unidentified Analyst: Yes, the first.
Jean-Michel Gault: Yes this is the first, yes.
Unidentified Analyst: And how much please.
Jean-Michel Gault: Its’s….
Jean-Marc Jestin: 80, 80…..
Jean-Michel Gault: 87.
Unidentified Analyst: 87.
Jean-Michel Gault: 87.
Jean-Marc Jestin: Yes.
Unidentified Analyst: [indiscernible].
Jean-Marc Jestin: For the turnaround of the retailers, yes the figures we are mentioning here for the most are renewals and re-lettings with the refurb of the shops in one year time. That's real numbers.
Jean-Michel Gault: 23 was the bet.
Jean-Marc Jestin: I think, the -- that's where we have been very good over the years and I would like to thank the team is that, we have been anticipating the change in retail expectation -- in customer expectation almost five years ago. So, we have shrink quite dramatically our exposure to fashion, which is the segment which is little bit too big today in the malls and we are doing that pretty fast. And we are developing health & beauty, sports and other segments and restaurants. So, yes, these numbers are real numbers. And I invite you to Assago Milanofiori you see that we have completely transformed this mall. We upgraded the customer journey. We’ve refurbished the center and we have changed almost – we’ve have changed almost half of the tenants.
Unidentified Analyst: And something else. Do you have some facts about Créteil Soleil extension does it works upon its -- is it a success or not? EBITDA extension.
Jean-Marc Jestin:
– : And I think the risky one-off such development is good. So, we are -- and as you can see, we were 100% lease at opening which is also in the current environment is signed of the appetite of the retailer for such malls so, and as you can see on the picture, the quality of the design and the quality of the layout is really changing the mall. So, the next step for Soleil Créteil is to do the renovation, which is underway, this will be done by the end of 2020. And we have great expectation for center we want it to be the best mall in the East of Paris that’s the ambition.
Jean-Michel Gault: Okay, thank you. I think we have another question on the phone.
Operator: The next question comes from the line of Jonathan Kownator from Goldman Sachs. Please go ahead.
Jonathan Kownator: Good morning, and thanks for taking my questions. Three questions actually if I may. One to come back on Belle Épine, can you just clarify, if the owners [indiscernible] as asked [indiscernible] in the game or if you knocked on the door and wanted to own 10% of the center? First question. The second question on the CapEx like-for-like, can you perhaps give a bit more color on the reduction from €127 million to €98 million, and what you expect to the recurring level over time? And then, more specifically, if you can comment on the performance of Germany, particularly obviously, on the rental adjustment? And also on Scandinavia, the level of sales was back a disappointing from retailers, and give a bit more color on that as well. Thank you.
Jean-Marc Jestin: Thank you, Jonathan for the – not the three question, but four. So, Belle Épine, we didn't expect that we will have so many questions about it, but so Belle Épine it’s a mix of skinning the game and knocking at the door, but the skin is not knocking the door. So, this one's more it's a good acquisition and we are very happy to have done it. For the CapEx, I think we are the most transparent -- we are as transparent as possible on the CapEx. We have three CapEx line. We have the CapEx for maintenance, which are mainly all of it -- almost all of it is recharge to the tenant. We have a leasing CapEx to ours new retailers, and we have renovation CapEx. And the numbers we are posting is not situating that match between here to another forward portfolio of €24 billion or €23 billion. So, we think its decent level of CapEx, and it shows also that the -- there is not an inflated number of tenant incentive. So, we think we can run the business with that level of CapEx going forward. So, moving to Germany, Germany, I don't know how long I would have to make the same answer to the same question. That's the German portfolio of [indiscernible] has been over rented. So, we are mark-to-market -- marketing the rents. We did it for [indiscernible], we did it for the [indiscernible] this year and we will do a Berlin in 2021. So, and when it will be done, this would be stabilized. And, we are the -- we are [indiscernible] with the portfolio. These three assets are doing quite okay, you know, German environment where sales are slightly increasing. The occupancy is growing. And more importantly the tenant mix is changing. So, the – our leasing platform enable us to change the mix, significantly we have introduced many Inditex brands and those are brands that were not in the malls and they are doing pretty well. So, one more year to go and German would be done.
Jonathan Kownator: I probably asked – sorry I probably asked the question already many times before, but on subscale in Germany and you know why you actually stay in the country
Jean-Marc Jestin: We have not been asked to get out. No. So, no I mean we -- the -- we once more we create the value. So, we -- those assets we knew that they are to be turnaround and to be release and to be remarket. So, and this is what we are doing and I'm produced optimistic that in 2021 this would be done. And Scandinavia, Scandinavia sales are a little bit disappointing, I confess. The fashion segment in Scandinavia like everywhere in the world is decreasing. So, we are currently replacing fashion by other segments. So, we are in that phase, and that's why you can see that sales are a little bit disappointing in – mainly in Norway. But, we are on it, and we also have to remind ourselves that sales were plus 6%, plus 5%, plus 6% in the three years in ‘15, ‘16, and ‘14. So, they were also very high. So, this is an adjustment, we don't see a long term trend down.
Jonathan Kownator: So, it's a mix effect and not necessarily underlying macro effect that you are outlining?
Jean-Marc Jestin: No, I think it's mainly coming from the fashion segment. We have, you know, that Scandinavia it's the fashion segment is many local players and like everywhere in the world, those are players are restructuring and they are changing their business model. So, we are changing the mix, and it's going to improve.
Jonathan Kownator: Okay, thank you.
Jean-Marc Jestin: Thank you.
Jean-Michel Gault: I think there is one more question on the phone.
Operator: The next question comes from the line of Bart Gysens from Morgan Stanley. Please go ahead.
Bart Gysens: Hi, can you hear me?
Jean-Marc Jestin: Yes.
Jean-Michel Gault: Yes, very well.
Bart Gysens: Hi. Klépierre is now the most highly rated retail REIT in Europe and many of your peers are trading materially wider on NAV. You've got a very strong balance sheet, just a bit like your main shareholder Simon. And Simon has been buying retailers recently. And this week, it's also been linked to potentially buy another retail REIT. Is that something that, you know, obviously, don't expect you to comment on M&A. But, could you revisit your acquisitive approach again at some point? Thank you.
Jean-Marc Jestin: I think the -- your questions are -- and thank you for them, but you take the precaution to say that we are not going to answer so. So, that's what we are going to do. We don't commend what peers are doing, they do what they can and you need to ask them, and we leave that to the others. For buying retailers, I think you should also ask the question to David Simon, he had his earnings a day ago and there are a lot of questions about it. And I think today as you see, it’s not on the agenda for us. No more comment.
Bart Gysens: Okay. Okay.
Jean-Michel Gault: Just to say, we are -- so that we are very concentrate on the business itself on the operation. This is where we pay most of our attention today to improve our portfolio and to continue to develop a very good operational results.
Bart Gysens: Thank you.
Jean-Marc Jestin: Thank you.
Operator: And we have a question on the web, from Vishal Lakhani with Exane BNP Paribas.
Vishal Lakhani: It's interesting to hear alternative uses such as hospital in Ballet, specifically on the hospital, what rent do they pay? And how does it compare to previous occupiers or major space users?
Jean-Marc Jestin: I think the -- I think we need to look at the business as a whole, okay. If we want to itemize one-by-one, okay. Its -- everybody is going to get confused. We are signing 1,600 leases a year. We have more than 10,000 leases. So, our businesses I think today what we try to do is to give more reasons for the people to come in our malls. So, we are fruitful and sales driven. And one of the – so, the strategy for us is to combine shop mid connect, so not only shop giving more reasons for the people to come to connect to meet. And this is a fundamental element in keeping the attractiveness of our malls. So, I will not comment on the specific use and I nothing to hide, but I think this is not the purpose of doing it. And then last but not least, I think what is important in our industry today is that there is a growing aspirations for customers for more environment, more social and more local. Okay, that's a growing concern. That's a growing aspiration. So, every time we go in that direction, okay act for good in leasing. Okay, we are increasing footfall and we are also increasing the waiting time and we are making our places more vibrant. So, and at the end of the day, this is what we are doing and this is what we should do. And we are -- and I would say, we don't see it as a target to our growth profile. This is contributing to the growth. This is improving occupancy everywhere. So, this is a positive impact to the growth of the organic growth of the company.
Jean-Michel Gault: Okay. So, I think we have no more question on the phone or online. So, I don't know if we have some more in the room. One, two, three, okay.
Jean-Marc Jestin: So, thank you very much for attending and for your questions. We hope the answers have been right and precise. And see you soon all of you.
Jean-Michel Gault: Thank you.
Jean-Marc Jestin: Have a good day.
Jean-Michel Gault: Thank you. Bye-bye.